Operator: Good morning, ladies and gentlemen. Today is Friday, March 15, and welcome to the Butler National Corporation Third Quarter and 9 Months Fiscal 2013 Financial Results Conference Call. [Operator Instructions] Your call leaders for today's call are Jim Drewitz, Creative Options Communications; Clark Stewart, President and CEO; Craig Stewart, President of Aerospace Group. I will now like to hand  the call over to Mr. Jim Drewitz. Mr. Drewitz, you may begin. 
Jim Drewitz: Thank you, Erica, and good morning, everyone. Before Mr. Stewart begins, I would like to draw your attention to, except for the historical information contained herein, the statements in this conference call are forward-looking and made pursuant to the Safe Harbor provisions, as outlined in the Private Securities Litigation Reform Act of 1995. Forward-looking statements involve known and unknown risks and uncertainties, which may cause Butler National's actual results in future periods to differ materially from forecasted results. Those risks include, among other things, the loss of market share through competition or otherwise; the introduction of competing technologies by other companies; new governmental safety, health and environmental regulations, which could require Butler to make significant capital expenditures. The forward-looking statements included in this conference call are only made as of the date of this call, and Butler National undertakes no obligation to publicly update such forward-looking statements to reflect subsequent events or circumstances. Important factors that could cause actual results to differ materially from the expectations reflected in the forward-looking statements include, but are not limited to, factors described under the caption Risk Factors in the company's annual report on Form 10-K filed with the Securities and Exchange Commission.
 With that completed, I'd like to turn the call over to Mr. Stewart. Mr. Stewart? 
Clark Stewart: Thank you, Mr. Drewitz. Good morning, ladies and gentlemen. We appreciate you taking your time to be on this call and talk about Butler National. This has been a challenging period for Butler National. This is the first quarter we've had a loss in almost 13 years, 12 years, I guess it is. And we really are concerned about that to some extent and to great extent, I think. 
 Actually, our revenue for the quarter was down in gaming, about 13%. We had multiple snow days in Dodge City this year. And a couple of them decided to pick December 31 and January 1 as their day, and the roads were closed for another 5 days after that. And then we got into February, we had the same thing happen, so that cost us some revenue and obviously in the casino business there is a high fixed cost. And once you get down closer below that fixed cost, you lose money quickly. 
 So -- and then the Aerospace Products group has had its challenges. We've had the negative airplane attitude of the economy, the bankruptcy of Beechcraft and the proposed sales and all the other events that have occurred there but -- and that has caused us to have about a 3- or probably a 4-month gap in the order filling process or the order placing process. We currently have a number of quotes out in that area and we actually have quoted probably the equivalent of 4 years of sales in the last 4 weeks. So it's been -- maybe the floodgate is opening up but it's certainly been a tough 4 months here. 
 Basically, that tells you kind of where we are. If you noticed in the second paragraph, we have a loss of -- second paragraph of the management comments I'm talking about, we have a loss of $755,000 in this quarter, $568,000 -- versus a $568,000 profit in last quarter -- or last year, same quarter -- I'll get it right here -- and directly related to the revenue. We are working, of course, on many new products that should add to those -- add to the backlog within 6 months or so. And then in light of that, we invested about $0.5 million in R&D in the last 3 months, and we think that's good. So that's what happened in the last 3 months. 
 Year-to-date, we have -- in the professional, let's go one segment at a time, that's easier. The decreased revenue for the casino is $664,000 and all other professional services, $556,000, so we had some revenue change there because of the casino operating income, as it shows, $227,000 in the 3 months and $962,000 for the 3 months ended the previous year, so it's a major shift. 
 Aerospace, same thing happened, 36% decrease, $2.7 million and $4.2 million comparison. The backlog at the end of January is about $5.3 million, which keeps us busy, but it's not busy like we need to be. And as a result, we are working very hard to increase the backlog and making quotes. So I'm not concerned that we have a real crisis, it's just that I don't like to have the loss and I'm very upset over that. 
 As you can see by your comparative information on the front page, the historical selected financial information, we still are financially pretty well structured from the standpoint of the balance sheet. And we didn't lose near as much money as I thought we might have lost, so that -- I think we're doing pretty well. $373,000 year-to-date for the 9 months is -- could be off a lot worse based on what happened last 4 months. So I think that -- with that, Jim, I am pleased with where we're going. I'm excited about all the new things that we have coming down the road. The quotes we're making are 5 times the size of what we've ever dealt with before. And we are really moving forward in the airplane modification world as far as  the special missions that -- we probably haven't been this excited or this far up on the picking list of the potential customers as we've ever -- I mean, we're higher on their list than we've ever been so I'm excited about that and I'm ready for questions. 
Jim Drewitz: Great. Then, Erika, let's go ahead and then proceed with questions then. 
Operator: [Operator Instructions] Our first question comes from Tim McMillan [ph] 
Unknown Analyst: Clark, I've got several questions. First, as far as the fourth quarter goes, we're halfway through that. Do you see at least some kind of improvement from last quarter or are we still looking at maybe some more bad news before it can turn? 
Clark Stewart: Tim, I really don't know. Actually, I'm seeing -- I don't know whether we will get the work in at Avcon quick enough to recover this fourth quarter or not. I can tell you that in Dodge City, the people are having trouble getting in the door, how's that? 
Unknown Analyst: Doing not well out there, then? 
Clark Stewart: Because it's full. So I mean, it's -- January and February left us like, boy, this is a real dog. What's happening here? And we got to March and, I mean, huge numbers compared to where we were during the October through February period. So I guess they all decided to wait until the sun came out and then were going to come in. But, no, we're having a great March so far and we expect the same thing in April. The seasonal peaks are in March and April, and June and July. So I think we're looking good there, I don't know whether we can make that much money. We have good business in Arizona, we're shipping good product, we've got a nice backlog down there. And the new products coming there seem to be accepted and well-positioned  in that market, so we're looking good there. I'm feeling pretty good about the fourth quarter but I don't know whether we'll have enough to bring that... 
Unknown Analyst: Hopefully, then we've taken our beating and we'll be recovering is what... 
Clark Stewart: We hope so. I wouldn't guarantee that, though. I just don't know. 
Unknown Analyst: The other thing we've talked in the past about enhancing shareholder value, there's some ideas that came out and I was -- I know you probably can't talk a lot about of things, but can you give us a general direction of what you are thinking as far as the company and trying to capitalize and get a better price on the stock? Just -- we talked about buying some stock back, obviously it's good you didn't do that with this bad quarter, but without it getting into everything, can you give us an idea of what direction you're leaning as far as trying to do... 
Clark Stewart: Well,  I would guess we'd have to say we haven't changed our direction. We're still trying to maximize the value. We believe we may be  a little too complex an organizational structure for everybody to understand. And just like we discussed this morning we went through 4, 5, different things and expecting someone to really understand all that is -- takes a while. So yes, we're going to try to simplify that. We're going to try to -- and hopefully that simplification should enhance the shareholder value. And that's about all I can say and we are in the process of working on that. 
Unknown Analyst: And it is, you might say it's an important thing and it's somewhat on the front burner, would that be reasonable to say? 
Clark Stewart: There's about 3 or 4 things on the front burner, and it's top of the list, so how's that? 
Unknown Analyst: I'd say that's pretty good, Clark. 
Clark Stewart: We only have 4 burners on the stove, how's that? 
Unknown Analyst: Well, that's good. Well, I'm glad to hear that and we shall see what time brings us here. 
Operator: [Operator Instructions] 
Clark Stewart: Jim, sounds like we don't have any questions. 
Jim Drewitz: I'm not sure. Erika, are there any other questions? 
Operator: I don't see any questions at this time. 
Clark Stewart: Are there anyone else on the phone? Craig, do you want to make any comments? 
Craig Stewart: I would just say, I think that we are very well positioned going forward from an aerospace standpoint. The last 3 to 4 months have been very discouraging, but at the same time we're looking at I think, from a standpoint we are as optimistic as we have been in a long time, as to the bids and the quotes that we've got out there. So I think, yes, hopefully, the next 6 to 9 months will be significantly better than where we are at right now and we're going in the right direction. 
Operator: I do have another question that came in from Mike Melon [ph] 
Unknown Analyst: Somebody had to ask. Pardon my ignorance, but what does the bankruptcy of Beech have to do with us? 
Clark Stewart: Well, what it did is it -- and there is a proposed sale to China. And it appears that the international market and the domestic market, if the thing would've been sold to China, there was a great deal of question of whether you wanted to own a Beechcraft and whether you should spend $2 million or $3 million modifying your Beechcraft. And so that just kind of slowed up the works 'til the China thing went away and by that time they were trying to get out of bankruptcy and -- so it was a lot of commotion and a lot of turmoil among the customer base, I guess, I would say. And... 
Unknown Analyst: So it sounds like you're saying the modifications are still going to be done, it's just delayed. 
Clark Stewart: That's right. That's right. That's what's reflected in all these quotes, I mean, a huge number of them. 
Operator: [Operator Instructions] 
Clark Stewart: Jim, I think we're finished. 
Jim Drewitz: Yes, I think so, as well. And I think it's important for people to understand that this loss was an aberration and not a trend. So, Clark, go ahead and close it out. 
Clark Stewart: Thank you very much, ladies and gentlemen, for taking your time this morning. We appreciate your interest in Butler National Corporation. We are excited about where we're going and thank you for taking your time. And we're finished. Thank you, Jim. Thank you, Craig. 
Operator: This concludes today's conference call. Thank you for attending.